Operator: Good morning, everyone and welcome to Geodrill’s Q3 2024 Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. I would like to remind everyone that this conference call is being recorded today, November 11, 2024. Before we begin, certain statements made on today's call by management may be forward-looking in nature and as such, are subject to various risks and uncertainties. Please refer to the company’s press release and MD&A for more details on these risks and uncertainties. I would now like to turn the call over to Mr. Dave Harper, President and CEO of Geodrill. Please go ahead.
Dave Harper: Thank you, operator and good morning everyone. Thank you for joining us today to discuss Geodrill’s third quarter results. Joining me also on the call today is Greg Borsk, our Chief Financial Officer. In the third quarter 2024 we delivered another solid financial performance. Some of the highlights were revenue increased 13% year-over-year, EBITDA also increased 22% year-over-year, net income of U.S. $0.06 or 8% of revenue, which compares favorably to a U.S. $0.06 cents loss for the same quarter in 2023. And we further strengthened our balance sheet which is now underpinned by more cash than debt, all of which we believe validates the success of our financial planning. We also believe these results are a testament to our operational and strategic planning success. For context on this latter point, recall 2023 our strategic decision to transition our rig fleet from Burkina Faso to more attractive jurisdictions. This has proven to be the right move evidently and while this decision initially impacted our revenue in fiscal 2023, we've now bounced back and we're stronger than ever. This business is all about contracts. Our success in securing multiple rig contracts and new jurisdictions has significantly boosted our revenue visibility and profitability which demonstrates our commitment to financial stability. Also recall earlier in the year we secured contracts totaling U.S. $150 million in our core jurisdictions. These works are now well under way and strongly contributing to revenue and profitability and will do so for the next three to five years. Meanwhile additionally subsequent to the quarter end, we have secured new contracts in Chile totaling circa U.S. $50 million. These include two very significant multi-rig, multi-year contracts for new tier one customer and we also secured a multi-rig contract extension with an existing customer. With our strong portfolio, long-term contracts with tier one customers, favorable pricing, and robust pipeline of opportunities we are now confident in delivering exceptional value to our shareholders and establishing a strong platform for growth going forward. At this point I'll turn the call over to Greg Borsk for a detailed review of our financial performance. Thank you, Greg.
Greg Borsk: Thank you, Dave. The company generated revenue of $34.1 million for Q3 2024, an increase of $3.8 million or 13% when compared to $30.3 million for Q3 2023. The increase in revenue for Q3 is primarily due to the successful win of two significant multi-rig, multi-year contracts earlier in the year. These contracts have not only bolstered our revenue, but they have also reinforced our market presence and operational capabilities. The gross profit for Q3 2024 was $8.4 million being 24% of revenue compared to a gross profit of $5.8 million being 19% of revenue for Q3 2023. EBITDA for Q3 2024 was $7.6 million or 22% of revenue compared to only $600,000 or 2% of revenue for Q3 2023. Q3 2023 was impacted by a $3.6 million non-cash credit loss provision relating to the aging of the company's trade receivables. Excluding the provision EBITDA would have been $4.2 million or 14% of revenue for Q3 2023. The net income for Q3 2024 was $2.6 million or $0.06 per share compared to a net loss for Q3 2023 of $3 million or a loss of $0.06 per share. We ended the quarter with net cash excluding right of use liabilities of $3.5 million. Building on Dave's comments, the record high gold prices are driving robust global exploration spending, which in turn solidifies the strong fundamentals for the mineral drilling industry moving forward. At this point I will turn the call back to Dave.
Dave Harper: Thank you Greg. So just to recap, our strategic focus on securing long-term multi-rig, multi-year contracts with tier one miners has provided us with a stable and predictable revenue stream, which is crucial in navigating the cyclical nature of the mineral drilling services business. This approach has optimized our resource allocation and operational efficiency, in turn significantly boosting our profitability. The synergy between our strategic long-term contracts and the robust gold and copper market, positions us exceptionally well for continued growth and success. We are poised to deliver exceptional value to our shareholders and establish a formidable foundation for future growth. At this point I'd like to thank -- extend our gratitude to our dedicated stakeholders including our team, our shareholders, and our loyal clients. Your unwavering support has been integral in our success. We remain committed to maintaining our high standard of service and furthering our position as an industry leader. This concludes our prepared remarks. I'll now turn the call back to the operator if anyone has a question. Thank you.
Operator: Thank you. [Operator Instructions]. Your first question comes from Gordon Lawson with Paradigm Capital. Your line is now open.
Gordon Lawson: Hey, good morning. Congratulations on another good quarter. Your year-over-year revenue growth was once again impressive. I'm just wondering if this is mostly growth in Chile or has there been some outperformance in the African segment? And any disclosures you can provide on drill types and margins would also help?
Greg Borsk: The revenue -- the year-over-year or the year-to-date if you look at that, most of that growth is coming directly out of Africa. What we've disclosed, Gordon, in the Q2, the significant contracts in Chile, they're going to take effect starting in Q4 and they'll roll for three years through 2025, 2026, and 2027. So what we have year-to-date mainly that is coming from Africa.
Gordon Lawson: Okay, that's fantastic.
Greg Borsk: You had a question on the margins too. I think on the margins if you look at where we are year-to-date, significant margins. If you look, by 9%, so from $101 million to $110 million. I think it's important to point out that in today's inflationary environment, etc., key to that is not only were we able to increase revenue year-to-date by 9% so from 100 -- so call it 101 million to 110 million. And I think it is important to point out just in today’s inflationary environment, etc., key to that not only were we able to increase revenue by 9%, we were able to maintain our gross margin. So if you look at the gross margin year-to-date 2023, the gross margin was 26%. We were able to match that in 2024. Year-to-date we also have a gross margin of 26%.
Gordon Lawson: Okay, that helps. Thanks very much. Just moving further down the financial statements here, your CAPEX was a little higher this quarter than expected. Is that related to a higher volume of drill upgrades this or is this more in line with expected run rate going forward?
Greg Borsk: The higher CAPEX is for the contracts that we signed in Chile, which will be starting to turn in Q4. So we were ahead of that. A lot of the CAPEX was spent in Q3 and will be spent in Q4 also.
Gordon Lawson: Okay, thank you very much.
Greg Borsk: Thanks Gordon.
Operator: [Operator Instructions]. Your next question comes from John Sartz with Viking Capital. Your line is now.
John Sartz: Good morning. So Dave, I thought your opening remarks were very good. The only thing missing was, I think you should have said, “the Board is there for reinstating the dividend”?
Dave Harper: Yeah, you took the words right out of my mouth, actually, and we just, we had a lengthy discussion. We just finished up a Board meeting this weekend. Perhaps Greg Borsk might like to make further comment on that.
Greg Borsk: Yeah, I think, John, we do have a few levers to pull. As you're aware, we also have the NCIB. We haven't used that. Typically, we use that when the share price is depressed. So I think, the share approaching three, that doesn't really make sense. We also have a lot of institutional funds that are buying and looking to get into the stock. In terms of the dividend, we discussed the dividend, we look at it. Even though we're net cash, we do have debt on the books. It's expensive debt, 9.35%. So there's a lot of opportunities for the cash we generate from operations. And as Gordon said also, we've signed some big contracts where we're operating the demand for drilling services is -- we're keeping up, but our clients are constantly looking for more. So it's a balance, if you will. It's a balance between growth, increasing the top line, continuing to add rigs. And then key is keeping the customer happy. And then we will continue to look at any excess cash and what best to do with it. And dividends does come up, but as I mentioned earlier, we had significant CAPEX to get ready for some of these wrap-ups that we're going to have in 2025 and 2026.
John Sartz: Okay, thank you. I still think you should reintroduce the dividend, but it's up to you. I mean, have a nice day. Thanks.
Greg Borsk: No, no, no. I appreciate your comments, John, and it's a work in progress believe me, but we are just going through a really heavy period of CAPEX to tool up. And what happens when you sign a contract is the first thing you get is the cost of all front load, the front end loaded. We've just got to get the rigs in the field, get them churning and earning and free cash will follow. And you can be assured the dividend will imminently be reinstated just not immediately. Just, I think we're working on it.
Operator: Your next question comes from Jesus Santa with the Caspanar Investment [ph]. Your line is now open.
Unidentified Analyst : Hi, and congrats for another great quarter. I have a question about the book order that we have. We mentioned or you mentioned that we achieved new contracts of 150 million plus 49 million in Chile after this recent quarter. So that will add a year-to-date an addition of 200 million in contracts. Can you disclose in total order book value?
Greg Borsk: Hey Jesus, sorry, maybe this is confusing. That 49 million will be spread out -- the new contracts, the 49 million that we signed subsequent to Q3 they will be spread out over three years. So they will not be year-to-date if that was a question. And same with the 150. The 150 that we announced early in the year, Q1, again those are multi-rig, multi-year contracts.
Unidentified Analyst : Yeah, thank you for the clarification. I understand that, but they were signed this year. So this year, we have signed 200 million in contracts that will be recognized and revenue in the following three to five years. I got that. My question is, how much do we have before, how much is our order book?
Greg Borsk: Yeah, we don't disclose that. And then maybe it's something we can look at disclosing going forward. We have long-term contracts, five-year contracts, that were disclosed three years ago. So we don't disclose that in the MD&A, but it's something if analysts and investors would like to know the order book going out over time, we could definitely consider that going forward.
Unidentified Analyst : That would be great, because I mean, personally, that gives me some visibility about the revenue that is coming. My second question is piggyback of the previous one that the other analysts made about dividends and buyback. Why do you, will be favoring dividends over buyback at the price of the sur [ph]?
Greg Borsk: The buyback, in the past, we've typically viewed it as like a floor. Kind of, if the stock gets too low, we will put in a bid so that we use the buyback years ago. And what we were finding years ago, when there was not a lot of volume in the stock, a small amount of shares being sold, could dramatically impact the price of the stock. So when we were using the NCIB years ago, it was kind of to put in a bit of a floor on the stock. You're not able to move your stock up by your NCIB. You're able to kind of match the current bid. And what we found in the last three years is that there's been enough demand from investors and institutional funds, etcetera, where they're looking for stock. So it really didn't make sense for us. And the stock was increasing. We went from a low of less than 2 to up to, I think, 365 or close to getting close to 4. So putting in the buyback didn't make sense. It was what we decided it was more prudent to actually implement dividends as a return of capital. And then this is all tempered by what Dave said earlier, taking care of your customer and continuing to have that growth CAPEX, etcetera, is kind of -- it's definitely in our balance of where do we spend our operating cash flow.
Unidentified Analyst : Perfect. Thank you very much Greg and Dave for your words.
Dave Harper: Hi, if I can just jump in for a second, just to add to Greg's comments, we get the whole thing about share buyback. We get the whole thing about dividends. You know what the best thing is we can do with our free cash at the moment is just keep adding rigs because we had an ever-increasing demand for our services. As our rig fleet reaches 70% utilization, we automatically start looking at how much cash we've got and what we need to be buying to add into an ever-increasing demand for our services now. And that's pretty much what we're doing at the moment. We've just had a bit of a purple patch in terms of signing contracts. Let's get these all into work, start generating some free cash. And then the decision between whether we go dividends, whether we do share buyback or a combination of those will simply be a great problem to have. And then it's coming, it's coming imminently. Not immediately, but imminently.
Greg Borsk: Yeah. For what it is worth, I totally agree with the strategy you were in growth mode, we still invest in CAPEX, new rigs, expanding. Time will be where we can give dividends or think about buybacks, but right now we are with our girl’s hat on. Thank you very much.
Unidentified Analyst : Thanks.
Dave Harper: You're welcome, please.
Operator: Your next question comes from George Melas with MKH Management. Your line is now open.
George Melas-Kyriazi: Thank you. Thanks for taking my question. I'm fairly new to the story. I have two questions. One relates to rig relocations. I understand that you moved some rigs from West Africa to South America last year or maybe earlier this year. So I am trying to understand if that's largely done or if you have some rigs that you still need to relocate? And the second question relates to the seasonality of the business. I'm just trying to understand what is the seasonality and maybe if you could take that by geography? Thank you very much.
Greg Borsk: Thanks. So, yeah, we took a strategic decision in quarter two last year to reposition -- we had competing priorities, if I can put it that way. We had opportunities in other jurisdictions and we were operating in a jurisdiction where we just saw better opportunities. And so we took the decision to relocate, redeployed rigs from one region, some were absorbed into West Africa. In fact, most of them were absorbed into other countries in West Africa. I think maybe I'm not sure that any of them actually went to South America. South America has effectively been pretty much a standalone operation. It's -- it started to generate its own free cash. From its own free cash, it's been growing nicely on its own. We've grown that fleet from -- we started five years ago with three or four rigs and today we're up to 13 rigs and that we will be operating in that region. So it's effectively being funded from cash generated from operations. So we're doing quite well. The -- so the two businesses are going to continue to run independently and as and where we need to if we believe that there's fair capacity in West Africa. There doesn't seem to be at this point in time, but it should, should it be the case that we have a fair capacity in West Africa then I'm sure it'll be absorbed into either North Africa or South America.
George Melas-Kyriazi: Okay, great. Thank you. And about the seasonality of the business?
Greg Borsk: The seasonality, just if you look at the quarters Q1 and Q2 are typically our strongest quarter. Q3 in certain regions in West Africa were impacted by wet season. So typically Q3 is our slowest quarter and then Q4 we pick up again and then we're only impacted in Q4 by the holidays. A lot of the larger tier one clients, they will shut down in advance of Christmas and then they will not start up until maybe the -- a week after the new year. But that's we've been doing this for a long time. We know Q1, Q2, we start ramping up for Q1 and Q2 and like Q3 of this year. We're ready for it. We know those are the two busy quarters. Q3 typically we have rigs come in. If they need an upgrade or a service, that's what we use Q3 for. And then Q4 again, we know we're going to slow down a bit around the New Year just before and just after. But that allows our staff to get rested, take their break, and gear up for a very busy Q1 and Q2 and that's what you see. And that's what we communicate every quarter. So that's -- and we were very pleasantly surprised with Q3 2024 when we used to kind of budget, almost a breakeven. But now that we've moved to tier one miners and significant clients that drill more consistently, Q3 is now a profitable quarter for us. And you can see that where were able to not only reinvest into the fleet and the equipment, we were also able to generate profits here in Q3 of $0.06 a share. So it was a very, very good quarter, very strong Q3 for the group.
George Melas-Kyriazi: Great. Thank you so much for your explanation.
Dave Harper: Thank you, George.
Operator: No further questions at this time. I will now turn the call over to management for closing remarks.
Dave Harper: Okay, if there is no other questions, thank you everybody for being on today's call and have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your line.